Operator: Ladies and gentlemen, thank you for standing by, and welcome to the First Quarter 2023 AGF Management Limited Earnings Conference Call. [Operator Instructions]. I would now like to introduce your host for today's conference. Ms. Quinn, you may begin.
Jenny Quinn: Thank you, operator, and good morning, everyone. I'm Jenny Quinn, Vice President and Interim Chief Financial Officer of AGF Management Limited. Today, we will be discussing the financial results for the first quarter of fiscal 2023. Slides supporting today's call and webcast can be found in the Investor Relations section of agf.com.  Also speaking on the call today, will be Kevin McCreadie, Chief Executive Officer and Chief Investment Officer. For the question-and-answer period with investment analysts following the presentation, Judy Goldring, President and Head of Global Distribution, will also be available to address questions.  Turning to Slide 4. I'll provide the agenda for today's call. We will discuss highlights of Q1 2023, provide an update on the key segments of our business, review our financial results, discuss our capital and liquidity position, and finally, close by outlining our focus for the remainder of 2023. After the prepared remarks, we will be happy to take questions.  With that, I will now turn the call over to Kevin.
Kevin McCreadie: Thank you, Jenny, and thank you, everyone, for joining us today. In the first quarter of 2023, markets experienced volatility. That volatility has continued into March, and will likely remain for as long as there is uncertainty about the overall state of the economy and the banking system. Despite the volatility, we reported AUM and fee earning assets of $41.9 billion at the end of Q1, which was flat from Q1 of 2022. This reflects our strong business momentum as the S&P 500 was down 9% over the same comparative period.  Our mutual fund business reported net sales of $221 million in the quarter, marking the tenth consecutive quarter of positive mutual fund net sales. Supporting our positive fund flows was our strong investment performance. AGF measures mutual fund performance by comparing gross returns before fees, relative to peers within the same category with the first percentile being the best possible performance.  We target an average percentile ranking versus peers of 50% over any 1-year period and 40% over the 3 years. At the end of Q1, our average percentile ranking was in the 36 percentile over the past 1 year, and the 33rd percentile over the past 3 years, with 60% of our Series F funds having a 4- or 5-star overall Morningstar rating.  We are also pleased to report that at the end of Q1, 70% of our strategy is on a 1-year basis and 75% on a 3-year basis outperformed our peers. In addition, 4 of our funds, AGF Global Select Fund, AGF American Growth Class, AGF Global Convertible Bond Fund and the AGF Fixed Income Plus Fund are in the FundGrade A+ Awards, which are given annually to investment funds and their managers who have shown consistent outstanding risk-adjusted performance throughout the year. Diluted EPS for the quarter was $0.26 per share.  Finally, the Board declared an $0.11 per share dividend for Q1 of 2023 for shareholders of record on April 11, representing a 10% dividend increase. This is the third consecutive year, where we have increased our dividend. The increase is in recognition of our strong business momentum and capital position, and is in line with our balanced capital allocation approach.  Starting on Slide 6, we will provide updates on our business performance. On this slide, we break down our total AUM and fee earning assets in the categories disclosed in our MD&A, and show comparisons to the prior year. Mutual fund AUM increased 2% year-over-year. I'll provide some color on our mutual fund business in a moment.  Institutional, sub-advisory and ETF AUM decreased by 3% compared to the prior year, mainly due to the market. Our U.S. SMA relationships continue to generate positive flows, as we continued our strategy to expand the U.S. SMA business. We're currently onboarding, one of our strategies on to one of the largest wealth management platforms in the U.S. and expect AUM in this category to grow gradually over time.  Our liquid alternative products continue to attract interest from investors who are looking for a strategic or tactical hedge for their portfolios. Managed by our quantitative team in the U.S., our market-neutral Anti-Beta strategy is designed to generate positive returns in volatile markets and preserve capital, in a downturn. At the end of the quarter, AUM for this strategy has increased by 63% to $932 million over the past year. Finally, we continue to see interest from institutional investors across multiple strategies and jurisdictions, which bodes well for future sales.  Our private wealth business continues to demonstrate resiliency with AUM decreasing 2% year-over-year due to market declines. Our private capital AUM and fee earning assets were $2.1 billion at the end of the quarter. It is our goal to grow and diversify our private markets business, and to be one of Canada's emerging leaders in private markets investing. We have a pipeline of private capital opportunities that we are working through, and we'll continue to take a measured approach in evaluating the opportunities to ensure an alignment to our strategic plan and to deliver shareholder value.  Turning to Slide 7, I will provide some details on the fund business. Mutual fund industry experienced net outflows for the fourth consecutive quarter, reporting net redemptions of approximately $8.5 billion. Despite the challenging industry backdrop, our mutual fund business remained in positive net inflows for the tenth consecutive quarter and recorded $221 million of net sales. AGF's outperformance to the industry is attributable to our strong investment performance, our strong brand and the diversity of our sales channels and our team's continued efforts to build key relationships with our clients and partners.  With that, I will turn the call back over to Jenny.
Jenny Quinn: Thanks, Kevin. Slide 8 reflects a summary of our financial results for the first quarter with sequential quarter and year-over-year comparisons. EBITDA before commissions for the current quarter was $27.1 million, $3.1 million lower than Q4 2022 and $12.9 million lower than the prior year. As a reminder, Q1 2022 results included $3.9 million of interest income related to a previously resolved transfer pricing matter.  In this quarter, we have presented management, advisory and admin fees, net of trailing commissions and investment advisory fees. Net management fees are directly related to our AUM levels and is a more relevant key performance indicator to measure, as our business continues to expand into various key structures.  This does not include revenue from the private capital business, the SG&A revenue and other income, which are separately shown as other revenue on Slide 8. Net management fees for the quarter was $73 million, which was in line with the increase in average mutual fund assets compared to Q4. Compared to Q1 of last year, net management fees decreased by $4 million due to lower mutual fund average assets and a lower net management fee rate.  SG&A for the quarter was $53 million. Excluding severance, SG&A for the quarter was $52.8 million, which is $3.8 million higher than Q4 and $4.9 million higher than prior year. The increase against Q4 includes a $2 million timing impact of higher government-regulated employee benefit expenses, which are paid annually in the first quarter.  SG&A in the quarter was also influenced by performance in stock-based compensation, reflecting strong investor performance with an average 1-year percentile rating, improving from 41% at year-end to 36%. In addition, we saw a 39% increase in the AGF.B share price. The year-over-year expense increase also reflects investments into the business, as we continue to execute against our strategy. AGF Private Capital contributed EBITDA of $4 million in the quarter, which is $4.5 million lower than Q4 and $3.6 million lower than Q1.  EBITDA from private capital managers this quarter included $400,000 of carried interest revenue, recognizing strong performance in one of our long-term private capital investments managed by SAF. As a reminder, Q4 results included $1.2 million of carried interest revenue. EBITDA from private capital LP funds was $2.9 million, which is $4 million lower compared to both Q4 and Q1 of last year. AGF participate as an investor in the units of private capital LP funds, benefiting from valuation increases in distributions in the funds, which can be variable quarter-to-quarter and impacted by the timing of monetization.  On a long-term basis, we expect to earn returns of 8% to 10% from investing in private capital LP. Diluted EPS was $0.26 this quarter compared to $0.32 in Q4 and $0.18 in Q1 of last year. The decrease against Q4 is mainly due to lower contribution from private capital LP funds, which can be lumpy. The increase against prior year was supported by the elimination of the deferred selling commission purchase option, which came into effect June 1, 2022.  Turning to Slide 9, I will walk you through the yield on our business in terms of basis points. This slide shows our net management fees, operating expenses and EBITDA before commissions as a percentage of average AUM on the current quarter, as well as sequential quarter and trailing 12-month view. As a reminder, to provide a more normalized view of the yield we earn. We've excluded AUM and related results to the private capital business as well as DSC revenue, other income, severance and corporate development costs.  The Q1 2023 net management fee yield is 75 basis points, which is flat to prior quarter and 1 basis point more than the trailing 12 months. The decline versus the trailing 12 months is driven by the mix of underlying products in series. The net management fee rate is impacted by the percentage of mutual fund assets and the product and series mix within those assets.  Gradually, over 7 years, the DSC ban will increase the trailing commission rate as assets come off schedule, and move to our front-end trailing commission rate. Scaling our AUM across various products and fee structures specifically with our strategic partners, will help offset the rate decline impact on revenue. We will continue to monitor this.  SG&A as a percentage of AUM was 54 basis points this quarter. 2 basis points higher than Q4 and 3 basis points higher than the trailing 12 months, driven by a combination of increased performance compensation, additional investments into the business and timing as previously mentioned. EBITDA yield 21 basis points in the quarter, which is 2 basis points lower than Q4 due to the timing impact of government regulated employee benefit mentioned previously. Adjusted for the timing impact of SG&A, EBITDA yield was in line with Q4.  Turning to Slide 10, I will discuss free cash flow and capital leases. This slide represents the last 5 quarters of consolidated free cash flow on a trailing 12-month basis, as shown by the orange bars on the chart. The black line represents the percentage of free cash flow that was paid out as a dividend. Our trailing 12-month free cash flow was $76 million and our dividend payout ratio was 35%. In the same period, we returned $65 million to shareholders, that includes dividends, share repurchases under our [indiscernible] IP and the $24 million substantial issuer bid completed in November 2022.  Since the monetization of our investment in S&W in the fall of 2020, we have returned $159 million to our shareholders. Our cash balance at the end of February was $24 million, and we had $243 million in short and long-term investments. We had $120 million remaining on our credit facility, which provides credit sale maximum of $150 million. We are comfortable increasing our net debt to EBITDA up to 1.5x to the right opportunity device.  Our remaining capital commitment to our private capital business is $34 million. Not included in this is our anticipated commitment of USD 50 million with the upcoming third fund managed by Instar. Capital commitments may be funded from excess free cash flow, but keep in mind, there will also be further recycling of capital, as monetizations occur, which will help to fund future commitments.  Taking all that into account, we currently have excess capital available. Our future capital allocation will be balanced and includes returning capital to shareholders on a dividend, share buybacks, as well as investing in areas of growth. Redeploying our excess capital to generate recurring earnings as a key strategic priority. We'll have further updates on this in coming quarters.  Turning to Slide 11, I will turn it back over to Kevin to wrap up today's call.
Kevin McCreadie: Thanks, Jenny. In the first quarter, we continued to make progress against a number of our strategic objectives. Despite the market environment, our AUM and fee earning assets remained resilient. We continue to outperform the industry and recorded the tenth consecutive quarter of positive mutual fund net flows. We also continued to deliver strong investment performance through our disciplined processes and focus on risk management. Finally, the Board declared a quarterly dividend of $0.11 per share, representing an increase of 10%. . As we continue to navigate, through the uncertainties in the market, we remained focused on building on the momentum in the past few years, managing the risks and our results and creating value for our shareholders over the long term. On our fourth quarter call, we communicated SG&A guidance for fiscal 2023 of $202 million. Our guidance does not include costs related to corporate development and severance and assumed investment performance, the AGF stock price and sales at a certain level. Due to the variable nature of performance and stock-based compensation, changes in any of these areas can result in a change to variable compensation expenses.  At this point, we are holding expense guidance of $202 million for the year, as we continue to monitor the trends. As a reminder, our strategic priorities are to continue to deliver consistent and repeatable investment performance, maintain our sales momentum and generate net inflows, while building a diversified private markets business will meet our expense guidance and continue to invest in key growth areas and enhance our corporate sustainability programs.  We have a strong balance sheet to strategically invest and redeploy excess capital to generate recurring earnings and return capital to shareholders. Finally, I want to thank everyone on the AGF team for all their hard work.  We will now take your questions.
Operator: [Operator Instructions]. And our first question coming from the line Gary Ho with Desjardins Group.
Gary Ho: Kevin, can you talk about the increase in seed capital to $224 million in this quarter versus $200 million at Q4. What strategy was that put into? And are there any other imminent capital calls? And then just on the fair value adjustment as well, it was a little bit light versus last year. It sounds like you're still expecting that 8% to 10% return on seed capital, over the long term? Or are there something else that's running through that line this year, just given the marks on those assets in a higher rate environment?
Kevin McCreadie: Thanks, Gary. Let me check that in order. Yes, we did have 2 investments that were made on 2 calls that were capital calls, 2 different strategies, one on the new partnership with -- first with Ventures and then one of our capital calls on one of our infrastructure funds. So that was the reason you saw the increase in the alternative line.  In terms of the marks, Q1 is always a little lumpy because we waited upon some of our GPs to get their audited financials in. And so, as we've always said, this is a line item that will be lumpy from time to time. We still think $4 million to $5 million per quarter, is kind of an average way to think of it for the year. So $20 million to $25 million -- or think of it as $20 million per year through that one.
Gary Ho: Okay. Got it. And then second question, just moving on to the higher SG&A this quarter. I know Q1 can be a bit lumpy. And Kevin, you mentioned your several items that could move that SG&A line, including investment performance, AGF share price, et cetera. So what gives you confidence right now? I know, it's still early in the year that you'll hit that $22 million full year guidance?
Kevin McCreadie: A couple of things. One is it's early in the year. Two, obviously, the 2 big drivers that we can't control, obviously, are investment performance, which if it remains strong and continues to accelerate, that will have a variable. It could have a variable, the other way it softens a bit, too. At the same time, we are running probably the industry-leading sales right now. So, if that continues to pace while we budgeted for it, if it comes in higher than that, that will have a potential. But those are the two we can't control. I would say the rest of it right now, looks to be tracking. So that's why we're okay with the guidance that we're at. And Jenny, do you have any thoughts on that?
Jenny Quinn: No, just to say in the core in the first quarter too, there was some seasonality. So you can't take that $202 million and just divide it by 4, which I know you're aware of, Gary. So, we saw about $2 million of that higher increase in Q1 related to those the CBP and EI payments that we make it in the first quarter.
Gary Ho: Okay. Got it. And then just maybe just last one. I'm not sure, if Judy is on the line, but are you able to quantify the net flow, so far in March. And then, as well maybe for Kevin, in terms of the retail side, gross sales, where are you seeing clients funding cash into. And given the noise over the past few weeks, have you seen clients kind of sit on the sidelines, a little bit more?
Judith Goldring: Yes. Thanks, Gary. I mean I'm going to take this opportunity to emphasize we did hit our tenth consecutive quarter of net positive sales. And, as you pointed out in your report net sales of $221 million for the quarter, that is really one of a handful of firms on a net positive basis for the quarter. And we're really, as Kevin said, really proud of the team and how they're performing in that regard. When we look as well, I think it's also notable when you look at the RSP season, January was really soft. February came back, obviously, but the industry just for the season was down about 90%, and we were down about 35%.  So again, we continue to outperform, which is something that we're proud of, but we're very much tracking. So month-to-date for the month of March, we remain in positive flows of that $45 million. And we're seeing that across all positive -- positive flows across all client segments as well. So again, pretty strong right now. We're feeling fairly optimistic, but I mean, you can talk about the markets. Kevin?
Kevin McCreadie: Yes, Gary, I'd echo what Judy said. I mean, it's a tough environment out there. And I think, we continue to manage through really well. The fact that all of our channels are in positive flow. It tells you it's not one area that we're seeing, it's everywhere. Which is the health of the business, if you will.  In terms of the investor sentiment, I was out, I saw probably large number of advisers on multiple meetings out West last week. There is some nervousness about the market, right now. Having said that, there's also a lot of cash that has -- that's come out and sitting on the side that's waiting to go back. So, I think to the extent that last week's event around the banking sector in the U.S. maybe has pulled forward the idea of a recession. And that means, this market can move forward sooner, I think that sets up well for a return to some of those flows later in the year.  Obviously, if we were to be in a contracted period, which we don't see, some type of greater financial contagion, where the banking sector weakened much further and was sustained that way. That would change the view, but that's not what we're seeing today. In terms of products, Gary, I think the U.S. product as well where it's coming from, it's pretty broad-based. It's not one thing. It's really a pretty good breadth of things.
Operator: And our next question coming from the line of Geoff Kwan from RBC Capital.
Geoffrey Kwan: Maybe just to expand on Gary's question on the SG&A side. As you mentioned, obviously, the share price performance and sales are a bit under control can influence your guidance. But maybe I ask it a different way, if the share price would have stayed where it had closed yesterday, performance that you saw in Q1 stays the same through the rest of the year. And the net sales, when you adjust for the seasonality you have in Q1, but when you just -- did you kind of maintain the momentum through the end of the year. Presumably, that would have the SG&A be higher than the $202 million, is that if I were to look, and if so, do you have even a ballpark of how much that would move things up?
Kevin McCreadie: Yes. Let me -- I'll take that, Geoff, to going backwards on the share price first. We've hedged a large chunk of that exposure. That's probably 20% of our shares or our share-based compensation, which is not hedged, which we're going to try to cover off some point, this year. So, that won't have a lot more variability from here. It was the sharp jump on that unhedged piece from what was -- we ended last quarter of something and the is to the , right? That was a big material impact. So that's, I think, is something you should not be repeated. In terms of the investment performance, if it continues to accelerate, there could be some variability there, the same with the sales. If they're tracking to what we just saw, then I think we're okay.  But again, it's too soon to tell, but you're thinking about it, the right way. If they're pacing right where they are, we should be roughly where we think it is in the $202 million. If they accelerate, obviously, that would be a variable that goes against that. But too soon to make that call today. It's a good news problem, unfortunately, but it's one that we have to -- we can't control.
Geoffrey Kwan: Okay. On the institutional side, just wondering if there's kind of any update on how the pipeline and the outlook for RFPs and whatnot look like today?
Judith Goldring: Yes. Thanks. I'll take that one, Geoff, we -- our teams are very strong RFP activity, particularly internationally in the Asian communities and countries, as well as in the Middle East. We'll remain to see how those pan out. We do have some great activity in the U.S. in terms of getting on to a number of SMA and TAM platforms. And so we've mentioned in the past, we're on SmartX and . We're looking to get on a few more. And as those continue to grow with a couple of key partner relationships as well, we do expect to see a real pickup in terms of activity and momentum in the U.S. And so we're very optimistic around that business, and we just continue to push out particularly in the U.S.
Kevin McCreadie: One thing Geoff, I would add to what Judy said is, even our U.S. business, which despite you're reading in how tough that environment has been on flows, too. Our U.S. business has actually been pretty strong in terms of flows. So again, it's not just a broader global institutional, but our U.S. business, which when you look at the headlines about some of the market issues, we haven't seen it impact our flows, at this point.
Geoffrey Kwan: Okay. And just last one was more of a housekeeping thing. When you historically reported your retail net, as you kind of had the total number and then the number backing out some of the large institutional numbers, was that not a factor in this quarter? In other words, the reported number was also the number when you adjust for those larger institutional transactions that can sometimes come into the retail numbers.
Judith Goldring: Yes. Our reported number of $221 million is actually adjusted for $6 million on small redemption from an institutional client. So unadjusted, I guess, it's $227 million.
Operator: One moment please to our next question. And our next question coming from the line of Nik Priebe with CIBC.
Nikolaus Priebe: The trailing 12-month investment performance continues to improve. When you do the attribution analysis on it, what are the biggest drivers of that performance, when you break it down between asset allocation and security selection? Do you have a bias towards the defensive positioning? Or is there anything that really stands out driving investment performance here?
Kevin McCreadie: Yes, Nik, we obviously look at each strategy is very different, right? When we report that number, that's the entire complex. So think of something of 40-plus or close to 40 strategies in there. So, all different flavor styles, whether it be more value-tilted, more growth-tilted. So it's hard to answer from an attribution and security selection because you're lumping in 40 things.  I would say, when we look at it, it has been on our balance suite, driven by the fact that we -- last year, we're defensive. So sitting on more cash, using some more liquid alternative hedges in there, using a real asset product in there, using ways to think about the bond market differently. Some products have private credit in there. So obviously, on the balance, it was a defensive positioning, but also a mix of things.  Individual strategies, obviously, we had a pretty good conscious on risk last year. So across the board, our discussion was about this aggressive rate hiking cycle. Some of our managers were able to manage the cyclicality and the shift from away more growth, thanks to more cyclical things. So, I think, it's broad based, as I said, and it's not one particular strategy, it's really hard to answer the attribution and security selection in -- across 40 things. But I'd say it was probably positioning around being more defensive broadly, across the suite of things.
Nikolaus Priebe: Fair enough. And your AUM mix does skew towards the U.S. and global equity strategies. Just in that context, are you able to describe -- and I'm cognizant of the fact that you have a variety of different strategies and different mandates. But are you able to describe, how you would be positioned relative to U.S. regional banks specifically? Like is there anything notable there that may impact investment performance subsequent to quarter end?
Kevin McCreadie: Yes. Let me give you a quick up there. We have no exposure to regional banks. In any of our portfolios. We've had no exposure to CS or Credit Suisse in that of our portfolios. None of the Tier 1 AT1 bonds that went to 0 or are in any of the European. We -- none of those bonds across any of our global fixed income mandates. So whatever we just saw over the last couple of weeks will not impact any of the portfolios.
Operator: [Operator Instructions]. Our next question coming from the line of Tom MacKinnon from BMO Capital.
Tom MacKinnon: Question just, with respect to private markets. Kevin, you certainly talked favorably of them. Wondering how we should be looking at the $5 billion alternatives target that you have with the pipelines like for that? And where, we would be seeing seed capital go from the current $224 million, if you were to build out to that $5 billion? And then, how do you look at balancing the increased volatility that could perhaps come with increasing that investment? I'll stop there.
Kevin McCreadie: Yes. Thanks, Tom a lot, and let me start with $5 billion. We're still on Page 4. As I said, couple of quarters ago, the market environment was going to impact timing, but we still feel pretty comfortable it's a 2023 achievable. Market conditions have not gotten better in terms of, again, there is just a log jam of people, again, buyers like us are looking at better valuations. So I would argue, the environment is better as a buyer. Sellers are looking at the past valuations. They'll obviously meet in the middle.  Our pipeline of things that we're looking at is very, very strong. And so, I'd say to execute the strategy is probably in a better place than it's ever been. In terms of the marks, I think you have to look at the private markets like individual assets. So, if you were in late-stage growth equity type stuff that has gone through its third or fourth round, you'd be questioning whether that's been marked appropriately given they're about to go public, we don't have any exposure in that kind of asset class, or if you're in the buyout world and again, thinking about leveraging up here to do something, again, not where we're playing. I think about where our current mix of assets is in infrastructure assets, which tend to have some type of correlation to inflation.  So what report increases, surcharges related to inflation. So core infrastructure actually holds up pretty well. Think about private credit, also where we have been a long-term player with a great partner there, who has done great with underwriting. So it's never been a better time for private credit. So, I don't worry about the marks there. Think about the fact that the banks are pulling back from lending, especially from what we just saw, you will see underwriters have the ability to create great terms. And probably, the borrowers that would have gone to the banks, the credits that we're going to be underwriting are probably going to be better, as an industry. So those are where we're playing today. So I don't worry about the market issues as much as I would for some others who are playing in different asset classes right now.  And so as we build it out, obviously, we're going to be opportunistic. Again, the long-term view that Ash has, he's only been to see a year is really to build out a platform of things that over time are appealing to advisers and our institutional clients. So -- but from an exposure standpoint today, I'm not concerned about the current market-to-market situation.
Tom MacKinnon: And in terms of where the fee would go, where would the seed capital, would that double, as you build this out?
Kevin McCreadie: Yes, we've talked about this a lot with you guys over the last couple of years. As we build that platform out, there will be some things we'll be seeding. So, I think it's still a number that is probably $250 million to $275 million over the next few years. But things were going to monetize and come back. So that number is probably -- even that feels on the high side, as a couple of our funds are towards the later parts of their lives. So you'll see monetizations and cash flows coming back. The faster we build it out, we may get to that on a temporary basis. But that's how, I have to think that it won't certainly be double time on that front.
Operator: Now I'm not showing any further questions in queue at this time. Ladies and gentlemen, this concludes today's conference. Thank you for participating. AGF's next earnings call will take place on June 21, 2023. You may now disconnect.